Operator: Greetings and welcome to MRI Interventions Incorporated 2016 Second Quarter and Six Months Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Frank Grillo, CEO. Please go ahead.
Frank Grillo: All right, thank you, moderator. Good afternoon, everyone. Thank you for joining us for our Q2 2016 earnings call. With me for today’s call is Hal Hurwitz, our CFO. On behalf of the management team and employees of MRI Interventions, we appreciate your interest in our company. And for those of you, who are shareholders, thank you for your support. For Q2 2016, we have good news about procedure growth, disposable revenue growth, continued improvements in our balance sheet and use of cash and pipeline building for the rest of the year. The adoption of our technology continues and we’re pleased with our position and progress in the market and our momentum going into Q3 and the back half of the year. We’re honored to be working for you and building this great company and we’re proud of the care patients are receiving as a result of the continued adoption of our products and technology. With that, let me turn the call over to Hal for a review of our Q2 2016 financial results and then I will provide further context regarding our progress in the marketplace. Hal?
Hal Hurwitz: Thank you, Frank. Before we begin, I want to point out that the comments made on this call may include statements that are forward-looking within the meaning of Securities Laws. These forward-looking statements may include without limitation statements related to anticipated industry trends, the company's plans, prospects, and strategies both preliminary and projected; and management’s expectations, beliefs, estimates, or projections regarding future results of operations. Actual results or trends could differ materially. We undertake no obligation to revise forward-looking statements in light of new information or future events. For more information, please refer to our Annual Report on Form 10-K for the year ended December 31, 2015, which have been filed with the SEC, as well as our quarterly report on Form 10-Q for the quarter and six months ended June 30, 2016, that we filed with the SEC today. All our filings can be obtained from the SEC or by visiting our website at www.mriinterventions.com. Now for our results from the 2016 second quarter. Revenues were $1.1 million for the quarter ended June 30, 2016 and $826,000 for the same period in 2015, an increase of $278,000 or 34% attributable to increases in our ClearPoint system disposable products. ClearPoint disposable product sales for the quarter ended June 30, 2016 were $1 million compared with $678,000 for the same period in 2015, representing an increase of $350,000 or 52%. This increase was due primarily to a greater number of procedures performed during the quarter using the ClearPoint system within a larger installed base for ClearPoint in this quarter relative to the same period in 2015. ClearPoint reusable product sales for the quarter ended June 30, 2016 were $39,000, compared with $93,000 for the same period in 2015. Reusable products consist primarily of computer hardware and software bearing sales prices that are appreciably higher than those for disposable products and have historically fluctuated, sometimes significantly, from quarter-to-quarter. Gross margin on product revenues was 51% for the quarter ended June 30, 2016, compared to 49% for the same period in 2015. The increase in gross margin was due primarily to a favorable product mix toward disposable product sales during the 2016 second quarter relative to the same period in 2015, as disposable products bear a higher margin relative to reusable products, and to a decrease in the provision for inventory obsolescence during the 2016 second quarter relative to the same period in 2015. These factors were partially offset by increases during the 2016 second quarter relative to the same period in 2015, in product scrap levels and in the allocation of indirect costs, amounting to $112,000, to manufacturing in connection with our transition from a focus on research and development to commercial activities. Research and development costs were $750,000 for the quarter ended June 30, 2016, compared to $427,000 for the same period in 2015, an increase of $323,000, or 76%. The increase was due primarily to increases in the 2016 second quarter relative to the same period in 2015, in: A, software development costs of $104,000 incurred in connection with our development of the next generation of the ClearPoint operating system; B, compensation of $86,000 related primarily to an increase in headcount in January 2016; C, regulatory fees of $35,000; and D, product development costs other than software of $33,000. Selling, general and administrative expenses were $1.9 million for the quarter ended June 30, 2016 as compared with $2.2 million for the same period in 2015, a decrease of $299,000, or 14%. This decrease was attributable primarily to decreases during the 2016, second quarter relative to the same period in 2015, in: A, personnel costs, including share-based compensation and travel costs, of $197,000; B, the allocation of costs, amounting to $51,000, to manufacturing, C, occupancy costs of $25,000; and D, medical device excise taxes, which was suspended by federal legislation for a two-year period beginning January 1, 2016, of $14,000. These fluctuations were partially offset by increases in: one, professional fees of $44,000; and two, public company and investor relations expenses of $37,000. During 2015, we incurred restructuring charges in connection with the consolidation of all our major business functions into our Irvine, California headquarters. In connection with this consolidation, we closed our Memphis, Tennessee office and did not retain any of our Memphis-based employees. The termination of certain of these employees triggered a modification in the terms of stock options previously granted to them. As a result of these modifications of stock option terms, we revalued such options and recorded related, one-time non-cash restructuring costs of $493,000, constituting nearly all of the restructuring charges incurred during the quarter ended June 30, 2015. Resulting from the items, we have just discussed. Our operating loss for the quarter ended June 30 2016 was $2.1 million as compared with $2.7 million for the same period in 2015, an improvement of $627,000, or 23%. Now, I will briefly address some non-operating items that also appear in our statements of operations. During the quarters ended June 30, 2016, we recorded a gain of $264,000, and during the quarter ended June 30, 2015, we recorded a loss of $186,000, resulting from additions to, and changes in the fair value of the company’s derivative liabilities. For the 2016 second quarter such derivative liabilities related to: A, the issuance of warrants in connection with 2012 and 2013 private placement transactions; and B, the amendment in June 2016, of certain notes to add contingent conversion terms and potential down round pricing protection of warrants issued in connection with such notes. For the 2015 second quarter derivative liabilities were limited to the issuance of the warrants in connection with the 2012 and 2013 private placement transactions. In April 2016, we entered into a securities purchase agreement with Brainlab AG under which a note payable to Brainlab in the principal amount of $4.3 million was restructured and, among other items, we: one, entered into a patent and technology license agreement with Brainlab for software relating to the Company to our SmartFrame device, in consideration for the cancellation of $1 million of the principal amount of the Brainlab Note; and two, we issued to Brainlab, in consideration for the cancellation of approximately $1.3 million of the principal amount of the Brainlab Note, equity units, consisting the shares of our common stock and warrants to purchase shares of our common stock. As a result of the foregoing, we recorded a gain of $941,000 in the second quarter of 2016 representing the difference between A, the aggregate fair value of the license agreement, which had no cost basis on our consolidated balance sheets, and the equity units, and B, the aggregate principal amount of the Brainlab Note cancelled as consideration. On June 30, 2016, we entered into amendments with Brainlab, with respect to the Brainlab Note, and with two holders of the 2014 secured notes. Pursuant to the amendments, the parties agreed that, in the event we close a qualified public offering of $2 million of the principal balance – if we close that public offering, I’m sorry, one, $2 million of the principal balance of those notes, plus all unpaid accrued interest on that amount, will automatically convert into the security offered in the qualified public offering; and two, the exercise price for 46,207 shares of common stock underlying warrants issued in connection with those notes will be reduced as provided in the amendment. Based on the provisions of the amendments, on June 30, 2016, we recorded a debt restructuring loss of a non-cash amount of $820,000 resulting from the restructuring of the Brainlab Note and those 2014 Secured Notes. Accordingly, after considering both the operating and non-operating items, net loss for the quarter ended June 30, 2016 was $1.8 million, as compared with $3.1 million for the same period in 2015, an improvement of $1.3 million, or 42%. Now let’s go over the financial results for the first six months of 2016. Revenues were $2.5 million for the six months ended June 30, 2016, and $1.8 million for the same period in 2015, an increase of $662,000 or 36%, attributable primarily to increases in our ClearPoint system disposable products. ClearPoint disposable product sales for the six months ended June 30, 2016 were $2.1 million, compared with $1.5 million for the same period in 2015, representing an increase of $614,000 or 40%. This increase was due primarily to a greater number of procedures performed using our ClearPoint system within a larger installed base for ClearPoint in the six months ended June 30, 2016, relative to the same period in 2015. ClearPoint reusable product sales for the six months ended June 30, 2016 were $301,000, compared with $230,000 of such sales for the same period in 2015, representing an increase of $71,000 or 31%. As previously mentioned, sales of our reusable products, which consist primarily of computer hardware and software, bear sales prices that are appreciably higher than those for disposable products and they may vary sometimes significantly from quarter-to-quarter. Gross margin on product revenues was 50% for the six months ended June 30, 2016, compared to 55% for the same period in 2015. The decrease in gross margin was due primarily to A, an unfavorable product mix related to reusable product sales; and B, the allocation of indirect costs, amounting to $240,000 to manufacturing during the six months ended June 30, 2016 in connection with our transition from a focus on research and development to commercial activities. Research and development costs were $1.4 million for the six months ended June 30, 2016, compared to $954,000 for the same period in 2015, an increase of $453,000 or 47%. The increase was due primarily to increases during the six months ended June 30, 2016, relative to the same period in 2015, in; A, software development costs of $168,000 incurred in connection with the company’s development of the next generation of the ClearPoint operating system; B, personnel costs related primarily to the additional headcount and related search commissions of $121,000; C, regulatory fees of $54,000; D, license fees of $52,000; and other product development costs other than software $52,000. Partially offsetting these increases was an allocation of departmental costs to manufacturing during the six months ended June 30, 2016, amounting to $77,000. Selling, general and administrative expenses were $3.9 million for the six months ended June 30, 2016 as compared with $4.5 million for the same period in 2015, a decrease of $614,000 or 14%. This decrease was attributable primarily to decreases in: A, personnel costs, including share-based compensation and travel, of $484,000; B, an allocation of departmental costs to manufacturing during the six months ended June 30, 2016, amounting to $87,000; C, occupancy costs of $33,000; and D, medical device excise taxes, suspended by the federal legislation of $30,000. These fluctuations were partially offset by increases during the six months ended June 30, 2016, relative to the same period in 2015, in: one, public company costs of $105,000; and two, professional fees of $45,000. In connection with the aforementioned consolidation in 2015 of all major business functions into our Irvine, California headquarters and the close of our Memphis, Tennessee office, we incurred expense of $1.3 million primarily related to termination costs, and the modifications of option terms, during the six months ended June 30, 2015. As a result of these items we have discussed so far, our operating loss for the six months ended June 30, 2016 was $4.0 million, as compared with $5.6 million for the same period in 2015, an improvement of $1.6 million or 29%. Now for brief description of the non-operating items that appear in our statements of operations. During the six months ended June 30, 2016, we recorded a gain of $424,000, and during the six months ended June 30, 2015, we recorded a loss of $969,000, resulting from additions to and changes in the fair value of our derivative liabilities, the composition of which I’ve mentioned earlier. The other non-operating items consisted as a previously mentioned $941,000 non-cash gain we realized in April 2016 from the restructuring of the note payable to Brainlab that was previously described; and the non-cash $820,000 loss from amending the Brainlab Note and two of the 2014 junior secured notes. Accordingly net loss for the six months ended June 30, 2016 was $3.7 million, as compared with $7 million for the same period in 2015, an improvement of $3.3 million or 47%. Finally, a few comments regarding cash. We had a good cash quarter in the second quarter of 2016. We ended the quarter with cash balances of approximately $2 million, which represents a quarterly burn for the second quarter of 2016, a little better than $1.6 million, and that $1.6 million, almost $1.7 million does include Brainlab interest that we repaid as a consequence of the restructuring of the Brainlab note of $740,000. So with that I will now turn the call back over to Frank.
Frank Grillo: All right. Thanks, Hal. Okay. I would like to hit some of our highlights for the quarter. To begin with we achieved a record quarterly number of procedures with 125 patients benefiting from the company’s ClearPoint technology, a 44% increase in procedures over Q2, 2015. This is the clearest evidence of strong adoption and enthusiasm for our technology. As Hal mentioned, revenues were $1.1 million for the three months ended June 30, 2016 and $826,000 for the same period in 2015, an increase of 34%. Disposable revenue like procedures as a key indicator for us and disposable revenue grew 52% as compared to the same period in 2015. We restructured the note agreement with Brainlab, resulting in a reduction of debt and accrued interest of over $3 million. I believe we’ve discussed this on prior calls and it was great to have this concluded and finalized early in the quarter. Brainlab is now a customer, a licensee, a debt holder and a shareholder and our relationship with Brainlab continues to be very collaborative and I'm glad to see the strengthening of the balance sheet. As Hal just mentioned, we reduced operating cash burn this quarter to about $1.6 million and that included a payment of $740,000, an accrued interest to Brainlab. In Q2 of 2015, we've used nearly $3 million in cash as we completed our restructuring efforts. So this is about a 47% decrease in use of our cash even with a large payment to Brainlab. That there were a lot of puts and takes in the quarter in terms of cash flow including a great job by our finance people, managing down our receivables and our Days Sales Outstanding receivables. We expect to continue to manage expenses tightly and as we continue to grow revenue we expect to see cash used continue to decline each quarter. The real highlight for us this quarter was that in June we saw the first release of initial drug delivery data by Voyager Therapeutics at the 20th International Congress Parkinson's Disease and Movement Disorders, that's ICPDMD for short, in Berlin, Germany. The initial set of interim surgical data from their Phase 1b dose escalation study included 10 patients and it continues to demonstrate the continued safety of Voyager-AADC01 lead candidate. In addition, the data show that the utilization of our Clearpoint system allowed precise targeting and placement of the SmartFlow cannula that’s our cannula used to deliver and infuse the drug. Real-time visualization of the delivery of the drug, administration of higher infusion volumes to, and confirmation of greater coverage of the putamen, which is the brain region that is being targeted with Voyager’s drug. The lead candidate drug of Voyager continues to demonstrate safety with increasing coverage of targeted regions of the brain an important finding. In general this study showed the benefits of MRI guided convection-enhanced delivery and especially the values seen the drug infused into tissue under real-time MRI guidance exactly the capability that the ClearPoint system provides. Along the lines of drug delivery, we also saw publication in the journal of neurosurgery entitled deep brain stimulator implantation in a diagnostic MRI suite, infection history over a 10-year period. This was a DBS study that was published right at the end of Q1, and we are able to get out and market this and discuss it with our surgeons. The paper reported data gathered – the paper reported data gathered over a 10-year period at UCSF Medical Center and show zero DBS electrode infections when utilizing the ClearPoint NeuroNavigation system in an MRI suite. In addition we saw a publication of an article in the expert review of the Neurotherapeutics journal entitled interventional MRI-guided catheter placement and real-time drug delivery to the central nervous system by Han, et al. This article discusses the local delivery of therapeutic agents into the central nervous system and brain. An in-depth review of procedural workflow is presented and several key aspects are highlighted. Importantly, it identifies key advantages of the ClearPoint system including the visualization of infusions and the ability to adjust cannula position or placement of additional catheters during the procedure, which helps ensure optimal delivery and coverage of target sites. This is very similar in terms of what it describes to the methods being used by Voyager in their trials. We have two large trade shows in Q2. In May, we have the American Association of Neurosurgeons and in June, we have the American Society of Stereotactic and Functional Neurosurgeons meeting in Chicago, both of these are strong meetings for us. The AANS is the largest neurosurgery each year neurosurgery show, trade show each year. An exhibit hall is heavily traffic by thousands of neurosurgeons, neurologists and their staffs. The second meeting, the association of the American Society of Stereotactic and Functional Neurosurgery, the ASSFN meeting is a much more focus meeting and targets the functional neurosurgeon community, which is our core customer base at this time. At this meeting, we have the opportunity to host a symposium for more than 160 attendees highlighting the use of the ClearPoint system in laser ablation and deep brain stimulation procedures. This was a great opportunity to be in front of a large group of our current and potential customers and we’d like to see the ClearPoint technology used in several different procedures as described by the presenters including DBS electrode placement, drug delivery and laser ablation of tumors. Overall we are pleased with the quarterly procedure volume. May was slower than desired for procedures as surgeons prepared for and attended the AANS meeting. This is similar to a trend we saw last year in May. June came back very strong and we set a new monthly record for procedures in June over 50 in that month and that momentum has carried into July and the third quarter as well. Capital sales were light this quarter. Although we feel the pipeline for Q3 and Q4 is developing very nicely. We've seen an uptick in drug delivery sales especially with respect to our SmartFlow cannula, which is utilized for the injection and delivery of drugs into the brain. We're seeing more drug companies reach out to us to do testing on and with our devices both in the preclinical and clinical phases. Clearly this is an exciting area of future growth for our company. So in summary, we're pleased with our progress. Q2 was a good quarter even if capital was a little light. Cases are going well and we're seeing more and more excitement around our technology for a variety of procedure types. Our sales and clinical specialty teams are driving hard and we appreciate the interest in our technology we're receiving from more and more potential customers. To close my comments, I’d like to highlight a recent story about a patient at one of our newer sites Inova Health System in Washington, D.C. Our patient presented to the movement disorders team at Inova Health. After seeing the neurologist it was clear the patient was a candidate for deep brain stimulation. However, the patient was very claustrophobic and nervous about the 46-hour traditional approach to the surgery and the attachment of the stereotactic head frame, which is I've noted on prior calls is actually screwed into the patient's head. The patient agreed to try a mock surgery where several steps of the traditional stereotactic approach were simulated. This confirms his inability to tolerate the traditional procedure approach. As an alternative the functional neurosurgeon at Inova, Dr. Mahesh Shenai offer the patient, the opportunity to have the DBS electrodes implanted with the use of the ClearPoint system under general anesthesia. The patient decided to move forward and the procedure was successful. In a video taken after the procedure the patient is seen walking straight down the hallway for the first time in quite a while and the movement disorder’s neurologist states, this technology open up deep brain stimulation to a large group of patients who otherwise would just not do it because of the awake procedure part. This type of patient outcome is inspiring and reminds us of why we do, what we do everyday. With that, I’d like to turn it back to the moderator for any questions. Thank you.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question comes from Joseph Dedona with Alexander Capital. Please go ahead.
Joseph Dedona: Hi, Frank.
Frank Grillo: Hi there, Joe. Thanks for calling in.
Joseph Dedona: Hi, I got a question, are we still targeting next year sometime for break-even?
Frank Grillo: It's always a question I am frequently asked that question, it’s a hard question to answer, because it really relates to guidance which we're still hesitant to give – given the early stage nature of our business. The end of 2017, first half of 2018 that is certainly our target for getting to a cash break-even type of operating performance, probably not a GAAP break-even performance at that point, but those – that's kind of in the range where we're targeting.
Joseph Dedona: Okay. Thank you.
Operator: The next question comes from Mark Abrams, a Private Investor. Please go ahead.
Mark Abrams: Hi, Frank. Good quarter, but I’ve two questions. Number one, by having the reverse split of 40-for-1, it makes a very small float of the stock now so the wild springs and small amounts of shift. My question is why do we do 40-for-1?
Frank Grillo: Mark, it’s a good question. In terms of the reverse split what we found with the stock is once the stock was much below a dollar I think more and more people become limited in their ability to trade the stock; and many of the brokers out there now will not even accept $1 stocks or stocks trading for less than a $1, and even a few are demanding we’ll not accept stocks less than $5. So we’ve made a decision to do a reverse split on the stock, change the stock price and open up the number of investors that can take a look at the stock at least in terms of the price how better was that. 1-for-40 is probably not a magic number, 1-for-30, 1-for-20 all of those would have gotten swallowed by the $1, but we felt like, look, let’s do this once and not have to go back and do it again. I understand that over the last few weeks it has been bouncing around a bit. Today, I actually – once again I have been encouraged though is it is trading in terms of dollar volume per day, it is trading much higher volume, obviously not in terms of shares, but in terms of dollar volume. So I think that’s encouraging, that’s a good start, and I think we’ll see it find a natural range over the next few weeks.
Mark Abrams: Okay. And my question two is in order to get the current tracks you need to refund what break-even anything like that, have you – any kind of possibilities of doing any kind of partnerships or licensing agreements, because – I mean, even though you’re growing, it’s just not enough to get where you really need to be because you remember you haven’t got your cash again.
Frank Grillo: We talk to other companies all the time. Hence in terms of like press release type strategic agreements, what we’re doing right now is we work very closely with the number of other companies already. We work very closely with both Monteris and Medtronic on laser ablation. We were closely with the Medtronic teams on DBS. We work very closely with – I think we’re up to six, seven different drug companies now on drug delivery. So we actually work closely with a large number of companies. And at some point one of those might turn into a more significant partnership, although that’s probably not on a rise in this quarter. So I’m actually pleased with the way we’re working with other companies in the field of neurosurgery. And I think you do need to look at it as we work at a lot of different companies and a lot of different technologies already. And our growth is – that’s right, we’re very symbiotic as one grows the other grows. So we all help either other out that way.
Mark Abrams: Yes. Because what I’m saying is that – you just have one of the best technologies out there, but there’s not enough people know about it, and it just doesn’t seems to be growing in the kind of direction you really need to go. But with the direction you need to have perfect product for – first you gave – delivered drugs to Parkinson’s which could be your overall game changer completely, and we think that was a product you have which is so good, why aren’t people just jumping out and say, wow, if I had this product – if my company was probably Medtronic or that was a Johnson & Johnson or any of these companies, why can’t they say why can’t I do something with these people, really an interesting, a fabulous company.
Frank Grillo: It's an interesting example you brought up in drug delivery. We're working which four or five different companies now on utilizing our products for the delivery of drugs to treat Parkinson's disease. However, if there is one industry that is more regulated than the medical device industry, it might be the pharmaceutical industry. So these things take time to develop. I really feel like we have this great growing business in procedures now and it’s a great upside in drug delivery. And we're continuing to pursue as many partnerships and relationships as we can in that field and I do think we'll see that pay off over time. In the meantime we're building a business herein now on procedures that are available to us right now and that we can continue to drive our growth with.
Mark Abrams: And then one last question, have you indentified the actual market for your products out there as far as procedures go?
Frank Grillo: Well, we – on our investor presentation on our website we do give an outline of the procedure size that we believe it’s the potential procedure size for our products based on the markets we know as of today. And so that adds up to 50,000 to 55,000 potential procedures in the United States. You've keyed in on a key area, the drug delivery side of things could change our market potential significantly if one of those drugs gets approved. I think we could see some really encouraging procedure in potential market sizes on the drug delivery side. But again the developing drugs that are injected directly into the brain does take some time.
Mark Abrams: Sure.
Frank Grillo: And we’re partnering with as many people as we can to develop those markets and end products.
Mark Abrams: Thank you very much.
Frank Grillo: Thank you, Mark.
Operator: The next question comes from Bruce Conway, a Private Investor. Please go ahead.
Bruce Conway: Hi, Frank. I think I got it on the call that you had a record number of procedures for June and that had continued in July. Can you tell me if you added any new sites and what the projections are for site additions for the rest of the year?
Frank Grillo: Sure. So we had a record number of procedures for Q2 in 125, and June was also a record for monthly procedures for us with fingers around 53 in June. And I will say that, I won’t typically give out monthly procedures numbers, but I did find June very encouraging. Momentum has continued on procedures, procedures feel like they're looking very good this quarter. And then in terms of sites, we did not add new sites in Q2, but we did see a nice tilt in our pipeline for capital sales. We’re working very hard on to close for the second half of the year, as well as a good handful of new evaluation sites, new accounts as well. So Q2 was wide on capital in sites, but the back half of the year looks pretty good.
Bruce Conway: Thank you, Frank.
Frank Grillo: You bet. Thank you, Bruce.
Operator: The next question comes from Alan Eisenman, a Private Investor. Please go ahead.
Alan Eisenman: My question has been answered. Thank you.
Frank Grillo: Thanks, Alan.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Frank Grillo for closing remarks.
Frank Grillo: All right. Thank you moderator, thank you, I guess, Jerry. Just to close briefly, we appreciate the interest of our investors and hope that you sense our excitement about the progress of our company. We’re changing our neurosurgery has done, where it is done, and in some instances what can be done. We are confident of the benefits of our technology brings to patient care and we are committed to bringing these benefits to more and more hospitals, surgeons and patients, and the marketplace is responding with growing interest and use of our products. Thank you again for joining us and we’ll talk with you next quarter. Bye-bye.
Operator: This concludes today’s conference. Thank you for your participation. You may disconnect your lines at this time.